Operator: Good morning and welcome to the Olin Corporation fourth quarter 2010 earnings conference call. All participants will be in listen only mode. Should you need assistance please signal a conference specialist by pressing the star key followed by 0. After today’s presentation there will be an opportunity to ask questions. To ask a question you may press star then 1 on a touchtone phone. To withdraw your question please press star then 2. Please note this event is being recorded. I would now like to turn the conference over to Mr. Joseph Rupp. Mr. Rupp, please go ahead.
Joseph Rupp: Good morning and thank you for joining us today. With me this morning are John Fischer, Senior Vice President and Chief Financial Officer, John McIntosh, Senior Vice President of Operations and Larry Kromidas, our Assistant Treasurer and Director of Investor Relations. Last night we announced that net income in the fourth quarter of 2010 was $2 million or 2 cents per diluted share compared to $21.8 million or 28 cents per diluted share in the fourth quarter of 2009. Fourth quarter 2010 results included a previously announced pre-tax restructuring charge of $34.2 million and the fourth quarter of 2009 results included $37 million of pre-tax recoveries of environmental costs incurred and expensed in prior periods. Sales in the fourth quarter of 2010 were $385 million compared to $351 million in the fourth quarter of 2009. Fourth quarter 2010 results from both our chloralkali and Winchester businesses exceeded our expectations. Our chloralkali business earned 36.5 million in the quarter reflecting better than expected volumes and pricing. Year over year chlorine and caustic soda volumes improved 12% and the impact of the normal seasonal slow down was less pronounced than we expected. ECU net backs improved 11% from the third quarter of 2010 level and were 21% higher than the fourth quarter 2009 level. The operating rate in the fourth quarter of 2010 was 80% compared to 70% in the fourth quarter of 2009. Winchester’s fourth quarter earnings were $3.6 million and full year 2010 earnings were $63 million, which represented the second most profitable year in its history. The fourth quarter pre-tax restructuring charge of $34.2 million, approximately 60% of which is non-cash, reflects the plans we announced in December to exit the use of mercury cell technology in the chloralkali manufacturing process by the end of 2012 and the relocation of the Winchester center for our ammunition manufacturing operations from East Alton, Illinois to Oxford, Mississippi. Fourth quarter 2010 results included a $1.6 million of pre-tax recoveries of environmental costs incurred and expensed in prior periods and a $1.4 million pre-tax recovery of a previously written off investment. Fourth quarter 2010 results also included $2.5 million of favorable income tax adjustments. Net income in 2010 was $64.8 million or 81 cents per diluted share compared to $135.7 million or $1.73 per diluted share in 2009. In addition to the fourth quarter pre-tax restructuring charge and the investment recovery the 2010 full year results also included $7.2 million of pre-tax recoveries for environmental costs incurred and expensed in prior periods. 2009 full year results included $82.1 million of pre-tax recoveries for environmental costs incurred and expensed in prior periods and a $4.6 million pre-tax reduction in expense associated with the favorable resolution of a capital tax matter in Canada. First quarter 2011 net income is forecasted to be in the 20-25 cent per diluted share range. Chloralkali expects to see continued improvement in the first quarter segment and our earnings compared to the fourth quarter of 2010 reflecting the positive impact of the 2010 price increase announcements. Earnings in the Winchester segment, which is facing pressure from higher commodity costs, are expected to improved compared to the fourth quarter but be lower than the first quarter 2010 levels. The first quarter 2011 net income forecast does not include any favorable income tax adjustments. Before I talk about the businesses in more detail I’d like to spend a few minutes and discuss the restructuring charges that we took in both businesses and announced on December 10th. I’m going to begin with the mercury cell technology exit strategy. The timing of this decision was driven by several factors. First, over the past 18 months we have experienced a steady increase in the number of customers unwilling to accept our products manufactured using mercury cell technology. This was becoming especially critical for the potassium hydroxide product where the two primary competitors have already completed conversions away from mercury cell technology. Second, there is federal legislation that was passed in 2008 governing the treatment of mercury that significantly limits our recycling options after December 31, 2012. We concluded that exiting mercury cell technology production after 2012 represented an unacceptable future cost risk. Further, the conversion of the Charleston, Tennessee plant to membrane technology will reduce the electricity usage per ECU by approximately 25% and the configuration of the new plant will result in an increase of our capacity to produce potassium hydroxide. Potassium hydroxide is a value enhancing product in our system and has proven to have a more stable demand and pricing profile than caustic soda. The decision to reconfigure the Augusta facility to manufacture bleach and to distribute caustic soda removes the highest cost production capacity from our system. As a result, we believe that the long term impact of these actions will be an enhancement in the earnings power of our chloralkali business. We expect these actions to be completed by the end of 2012. With regards to Winchester, in November we announced our decision to relocate the Winchester center for our ammunition operations from East Alton, Illinois to Oxford, Mississippi. This move is anticipated to take approximately 60 months to complete. Upon completion this relocation is forecasted to reduce Winchester’s annual operating costs by approximately $30 million. We also expect this relocation project to reduce Winchester’s 2011 earnings before meaningful savings are realized, which will begin in 2013. The 2011 pre-tax impact of this project is estimated to be $4-5 million. That said, once completed Winchester will have the most modern center for our ammunition production facility in North America and will be well positioned for long term success. Now let me discuss the chloralkali and Winchester segments in more detail. First chloralkali - fourth quarter 2010 chloralkali volumes for all products improved compared to the fourth quarter of 2009. Chlorine and caustic soda volumes increased 12% compared to the fourth quarter of 2009 but were 4% lower than the third quarter of 2010 levels, reflecting normal seasonal weakness. Potassium hydroxide volumes decreased 17% year over year and increased 21% compared to third quarter levels. Fourth quarter 2010 shipments of hydrochloric acid, which increased 17% year over year, also increased compared to the third quarter of 2010. Hydrochloric acid shipments usually experience some seasonal weakness during the fourth quarter. Shipments of bleach, which I will discuss in more detail later, increased 16% year over year but declined 25% compared to the third quarter, reflecting a normal seasonal pattern. The fourth quarter volumes for these products all contributed to the better than expected volumes that were experienced in the fourth quarter of 2010 and contributed to the better than expected financial performance. While year over year volumes in the fourth quarter of 2010 improved compared to the fourth quarter of 2009, they do remain well below fourth quarter 2007 levels. 2007 was the period of robust demand for the industry. Fourth quarter 2007 combined chlorine and caustic soda volumes were approximately 18% higher than fourth quarter 2010 levels. For the full year 2010 chloralkali volumes improved for all products compared to 2009. Combined chlorine and caustic soda volumes increased 15% while hydrochloric acid volumes increased 10%. Potassium hydroxide volumes, which were negatively impacted in 2009 by raw material availability, increased 58% and bleach volumes increased approximately 18%. The other element of the better than expected fourth quarter 2010 chloralkali performance was chlorine and caustic soda pricing, which increased 11% sequentially and 21% for the fourth quarter of 2009 levels, reflecting an ECU net back of approximately $515. The improvement from the third quarter reflects the combination of a favorable customer mix and the favorable impact of the third quarter 2010 caustic soda price increases. We currently believe that approximately 70% of the $135 per ton caustic soda price increases announced during the quarter will be realized in the market. Olin anticipates additional benefits from these price increases and from contracts that reset on an annual basis realized in the first and second quarters of 2011. The $35 per ton caustic soda increase that was announced in December has now been followed by other producers including Olin’s announcement last week at the $40 per ton level. We now believe at least a portion of this increase will be accepted in the market. This will likely favorably impact the Olin system in the second quarter. Over the past month we have seen some downward pressure on chlorine prices as reflected by a decline in the published spot prices. Downward pressure on chlorine prices is not unusual during the winter months. It is expected to offset some of the positive momentum for caustic pricing during the first quarter of 2011. Freight costs per ECU declined in the fourth quarter of 2010 when compared with the fourth quarter of 2009 and the third quarter of 2010 levels. The year over year decline reflects the increased level of pipeline sales in our system. The year over year average of pipeline sales reflects the restart of our St. Gabriel, Louisiana plant, which did not operate until late in 2009. The full year operation of St. Gabriel plant during 2010 is responsible for approximately 2% decline in full year 2010 freight rate costs per ECU when we compare it to 2009 levels. As a point of reference, freight costs per ECU, which continue to be a challenge for chloralkali business, have increased approximately 75% over the past five years. Bleach volumes in 2010 increased approximately 18% compared to 2009 levels as we began to see the benefits of our initiatives to ship bleach by rail. We have now experienced nine consecutive quarters on a year over year basis of volume growth in bleach shipments at a rate in excess of 10%. We’re currently forecasting an additional 15-20% growth in bleach shipments in 2011 compared to 2010. During 2009 approximately 9% of our effective chloralkali capacity was consumed making bleach. The continuation of these initiatives and the start up of our first low salt, high strength bleach facility in Macintosh, AL during the third quarter of 2011 will drive future growth. As we have said before, bleach is a value added product in our system. It helps provide a base load for our facilities and is a product that while seasonal, is less cyclical than our core chlorine and caustic soda business. In addition to the low salt, high strength facility in Macintosh, AL, we are also evaluating two additional facilities to be collocated with two of our other chloralkali plants. The two primary advantages of low salt, high strength bleach are that it is produced at approximately twice the concentration as standard bleach, which reduces shipping costs and because of the low salt characteristics, it’s a more stable product. Needless to say, bleach continues to be a strategic focus for the company. Now let me talk about Winchester. The reversal in the surge levels of demand we began to experience in the third quarter of 2010 continued in the fourth quarter. Fourth quarter 2010 sales declined 11% compared to the fourth quarter 2009 levels but our commercial sales declined by 18%. Commercial volumes excluding the Rimfire product declined 21% in the fourth quarter of 2010 compared to the fourth quarter of 2009. On a full year basis commercial sales declined 10% and volumes excluding Rimfire declined 12%. As further evidence of the reversal of the demand pattern, the commercial backlog declined 62% from the end of 2009 to the end of 2010. On the positive side, contract sales and volumes, which includes both law enforcement and military customers, were comparable in the fourth quarter of 2010 when compared with the fourth quarter of 2009 but increased 9% compared to the full year 2009 levels. We continue to believe that the growth of the military and law enforcement business will result in a more profitable Winchester segment after the end of the surge. Winchester earned $3.6 million in the fourth quarter compared to $9.5 million in the fourth quarter of 2009. In spite of this decline, Winchester earned $63 million in 2010, the second most profitable year in its history. As a point of reference in evidence of the quality of Winchester’s 2010 results, the previous second most profitable year for Winchester in that year we earned $32.6 million. The fourth quarter 2010 year over year decline in earnings reflects the combination of the lower commercial sales and higher commodity and other material costs partially offset by improved pricing. In the fourth quarter of 2010 Winchester acquired costs of all commodity metals increased compared to 2009 levels. The price of copper increased 21%, the price of lead 7% and the price of zinc increased 18%. Winchester utilizes approximately three times as much lead as copper and three times as much copper as zinc. As we look forward into 2011, the price of copper will likely present a significant challenge. During the second half of 2010 there has been a steady rise in the average monthly price of copper from $2.94 per pound in June to $4.17 per pound in December and with daily spot prices in December approaching $4.50. During January copper prices have continued at the recent elevated levels. As a result, commodity costs may prove to be a significant challenge for the Winchester business in 2011. The volatility in the prices of commodity metals has increased substantially over the past several years and reinforces the need and the value for cost reductions associated with our planned Oxford, Mississippi relocation. Finally, the combination of the better than expected fourth quarter results from both the businesses, the strategic actions we announced in December and the strength of our balance sheet, which includes a fully funded pension plan, positions the company for a successful 2011 and beyond. The steps we are taking are the ones that in the long term are both necessary and value enhancing. In addition to the actions we have announced, we continue to look for acquisitions that can enhance and grow both our bleach business and our overall chloralkali business. Now I’m going to turn the call over to our CFO John Fischer and John is going to review several financial matters with you. John.
John Fischer: Thank you Joe. First I’d like to discuss a few items on the balance sheet. Cash and cash equivalents at December 31, 2010 including the restricted cash associated with the Go Zone and Recovery Zone financings that were completed in 2010 and which are classified as a long term asset on the balance sheet, was $560.6 million. As of December 31 $117 million of the 153 million of Go Zone and Recovery Zone bonds issued have been drawn. We expect both the undrawn balance of 36 million and the restricted cash of 102 million to be fully utilized during 2011 for the Winchester relocation, the Charleston, Tennessee conversion project, as well as the low salt, high strength bleach plant and other capital projects at our Macintosh, AL facility. Capital spending and depreciation in 2010 were $85.3 million and $85.4 million respectively compared to $137.9 million and $70.2 million in 2009. The decline in capital spending in 2010 compared to 2009 reflects the completion of the chloralkali conversion and expansion project in St. Gabriel, Louisiana during 2009. In 2010 there were no individual projects with spending over $10 million. In 2011 we expect capital spending to be in the $230-250 million range, approximately 55% of which will reflect the chloralkali mercury cell conversion project in Charleston, Tennessee and the Winchester center fire relocation project. We also expect spending to continue on the low salt, high strength bleach initiative. 2011 depreciation is forecasted to be approximately $90 million. In December 2011 we had $75 million of bonds that were issued in 2001 that will mature. It is currently our intention to redeem these bonds using our cash. During 2010 Olin benefitted from the bonus depreciation provisions that were contained in the American Recovery and Reinvestment Act of 2009. As a result of these provisions Olin’s cash taxes paid in 2010 were less than $10 million. These bonus depreciation provisions were recently renewed for 2011 and will likely result in Olin paying minimal cash taxes in 2011. Now turning to the income statement, selling and administration expense increased $4.3 million or 15% in the fourth quarter of 2010 compared to the fourth quarter of 2009. The increase was primarily due to higher legal and legal related settlement costs of 3.1 million in the fourth quarter of 2010 compared to the fourth quarter of 2009 and increased fourth quarter 2010 incentive compensation costs of $1.2 million primarily associated with mark to market adjustments on stock based compensation. Fourth quarter 2010 charges to income for environmental, investigatory and remedial activities were less than $100,000 and include the $1.6 million of recoveries from third parties for environmental costs incurred and expensed in prior periods. The low level of fourth quarter expense reflects the timing of recognition of these expenses. During the fourth quarter of 2009 there were $31.2 million of credits related to environmental, investigatory and remedial activities, which includes $37 million of recoveries of environmental costs incurred and expensed in prior periods. After giving consideration to the recoveries in both periods, year over year expenses related to environmental, remedial and investigatory activities decreased $4.2 million. For the full year 2010 after giving consideration to the $7.2 million of environmental recoveries, charges to income for environmental, investigatory and remedial activities were $16.3 million, which is 32% less than the full year 2009 charges of $24.1 million after giving consideration to the $82.1 million of full year recoveries. The full year 2010 expense for environmental, investigatory and remedial activities was approximately 35% lower than has been experienced in recent years. In 2011 we anticipate these expenses to return to more normal levels. On a total company basis defined benefit pension plan income was $5.5 million in the fourth quarter of 2010 compared to $4 million of income in the fourth quarter of 2009. The fourth quarter 2010 restructuring charge included a pension curtailment charge of $3.2 million associated with the relocation of our Winchester center fire ammunition manufacturing operations. We expect 2011 defined benefit pension plan income to be similar to 2010 levels. We were not required to make any cash contributions to our domestic defined benefit pension plan in 2010 and believe the earliest we may be required to make any cash contributions to that plan is 2012. As a reminder, we do have a small Canadian defined benefit pension plan to which we have made approximately $10 million of voluntary contributions in 2010. We expect 2011 cash contributions to this plan to be less than $5 million. Defined contribution pension expense was 3.2 million in the fourth quarter of 2010 compared to 2.7 million in the fourth quarter of 2009. As a reminder, our defined benefit pension plan is frozen to all new entrants, all salaried, all non-union hourly and most union employees. As a result, the majority of our active employees participate in the defined contribution pension plan. During the fourth quarter of 2010 we recorded a pre-tax restructuring charge of $34.2 million related to the plans we announced in December to exit the mercury cell technology in our chloralkali manufacturing process by the end of 2012 and the relocation of the Winchester center fire ammunition manufacturing operations. The major elements of this restructuring charge are equipment and facility write offs of 17.5 million, the accelerated recognition of asset retirement obligations of 6.7 million, employee severance and related benefit costs of 6 million, a non-cash pension and other post retirement benefit curtailment charge of 3 million and contract termination costs of 1 million. The effective tax rate in 2010 was 15.7%, which reflects the positive benefits of favorable adjustments primarily related to the expiration of statutes of limitations and the release of the valuation allowance recorded against a foreign tax loss carried forward deferred tax asset. In 2011 we believe the effective tax rate will be in the 36-37% range. On January 31, 2011 Olin’s board of directors declared a dividend of 20 cents on each share of Olin common stock. The dividend is payable on March 10, 2011 to shareholders of record at the close of business on February 10, 2011. This is the 337th consecutive quarterly dividend to be paid by the company. Before we conclude let me remind you that throughout this presentation we have made statements regarding our estimates of future performance. Clearly these are forward-looking statements and results could differ materially from those projected. Some of the factors that could cause actual results to differ are described without limitations in the risk factors section of our most recent 10-K and in our third quarter earnings release. A copy of today’s transcript will be available this afternoon on our Web site in the investors section under calendar of events. The earnings press release and other financial data and information are available under press releases. Operator, we are now ready to take questions. 
Operator: Thank you. We will now begin the question and answer session. To ask a question you may press star then 1 on your touchtone phone. If you are using a speakerphone please pick up your handset before pressing the keys. To withdraw your question please press star then 2. And at this time we will pause momentarily to assemble our roster. Our first question is from Sabina Chatterjee with BB&T. Please go ahead.
Sabina Chatterjee: Good morning. Just in terms of guidance we’re forecasting the 20-25 cents per share in Q1 but as I look at the results here they were nicely above that in the fourth quarter and you expect improving conditions in both businesses. So I’m not clear as to why you wouldn’t expect something more than 25 cents at a minimum. And you also talk about some planned outages at four chloralkali sites for Q4. Did those occur or have some spilled over into the first quarter?
John Fischer: This is John, Sabina. I think when you look at the fourth quarter and you compared it to the first you have to take into account the positive events in the fourth quarter that won’t occur in the first. We had the $1.6 million pre-tax environmental recovery, we had a $1.4 million after tax investment recovery. We talked about baseline environmental expense, which as you know is highly variable, was abnormally low in the fourth quarter, will be much higher in the first quarter. And finally we had the favorable tax adjustments in the fourth quarter and we don’t expect any of those in the first quarter. And I think if you factor those out of your calculation in Q4 you’ll actually find that our Q1 guidance is higher.
Sabina Chatterjee: Okay.
Joseph Rupp: In terms of the outage schedule, we did have outages scheduled in the fourth quarter and we did meet those outages. And so they were in our operating results for the quarter. We do have outages scheduled in the first quarter as well and those are also taken into account in our guidance.
Sabina Chatterjee: Okay. Great. And then just a few questions related to the mercury cell phase out - it sounds like you’re still looking at a 2012 year end completion date and I’m assuming the 116 million cost to convert hasn’t changed. Can you just size that market up, the market share opportunity that you’re alluding to with the conversion and what sort of impact you think that that conversion will have on Olin’s operating rates?
Joseph Rupp: Well, let me talk about just the capacity considerations. Part of our fourth quarter announcement was that these actions were going to reduce overall our capacity and the Charleston site is one of the sites in which that capacity will be reduced as part of the 150,000 tons of capacity that will be taken out in total by all the actions we’re going to take. At Charleston the new facility when finally constructed will afford us an opportunity to increase our manufacturing capability for KOH. I don’t believe we’ve specified how much of an increase that is but in the market it’s significant and in our ability to improve our financial results it will be noticeable.
John McIntosh: And the capital cost is right what you quoted Sabina.
Sabina Chatterjee: Okay. So you haven’t lost any KOH customers, is that correct? You’re just…
John McIntosh: No we have not.
Joseph Rupp: Our KOH volumes are actually improving year over year and fourth quarter over fourth quarter.
John Fischer: We were reacting in describing a threat to that business that we’re trying to avoid.
Sabina Chatterjee: Okay. Great. Thank you guys.
Operator: Our next question is from Edward Yang with Oppenheimer. Please go ahead.
Edward Yang: Okay. Thank you and congrats on the quarter. Looks like you’re expecting to get higher pricing. What kind of incremental margins could you get from that on the chloralkali side? Are there any offsetting costs or will these price increases be largely margin accretive?
Joseph Rupp: They will largely be accretive because we’re not really talking about operating in any significantly different way in the quarter. So we would expect to the extent we have increases that we would be able to realize those.
Edward Yang: Okay. Terrific. And now that we’re - a question for John again - now that we’re two years into the up cycle, are you in a better position to assess how this cycle is playing out prior to prior cycles? And I share your optimism on the chloralkali side but there are some skepticism out there that maybe prices or margins have already peaked. How would you assess the progress that you’re seeing in this business?
John Fischer: Well, you know, from the perspective of the cycle it is still different than it was. I mean we have never seen so far the strength of the chlorine molecule lead us to where we are today because of the weakness in the domestic housing and domestic vinyls markets, which is not anticipated to come back in the near future. What we have seen as an offset to that is the energy position of the United States and our ability as a chemical industry to export successfully many derivatives of the chlorine molecule and some end uses for caustic. And that has been a tremendous offset to what started out as a different cycle for those chloralkali cycle than what we have seen before.
Edward Yang: Maybe just a final long term question - what’s your industry supply expectation? You’re taking out about 8% net capacity related to that December announcement. Do you expect the industry to continue gradually taking out capacity as it has done so in the last decade or so or do you expect industry supply to start expanding?
Joseph Rupp: We would expect that old capacity will continue to be taken out.
Edward Yang: And industry capacity as well?
Joseph Rupp: Yes.
Edward Yang: Okay. Thank you very much.
Operator: Our next question is from Christopher Butler with Sidoti & Company. Please go ahead.
Christopher Butler: Hi. Good morning guys. The last question brings some additional questions here. Your operating rate for the fourth quarter, which is a seasonally weak quarter was 80%. You had mentioned that vinyls were still pretty much washed out because of residential construction. Do we hit a point here a few years down the road where the industry which has been very slow to add capacity over the last cycle is in the situation where that becomes part of the story again?
Joseph Rupp: That’s hard to speculate with regard to that. I think Chris there are two things that are going on. One is that the industry, the vinyls producers are exporting a significant amount outside the United States. So I think that your question is if they can continue to do that and demand in the United States increases, you’re going to be tight on capacity. But I would think that people would be prudent as they add capacity if they add it.
Christopher Butler: And just shifting gears here a little bit you had given us I think a full year CapEx of 230-250 if I’m not mistaken. Could you give us a sense of what that number is going to look like in 2012 as all of these projects kind of do their full two-year cycle?
John Fischer: We expect 2012’s CapEx to be lower than that 230-250 bur probably still well above the depreciation level because there is still a significant amount of the capital associated with the Charleston conversion would be in 2012.
Christopher Butler: And as this takes place is there anything that we need to be aware of as far as capacity being shut down at certain times, added costs like freight due to production and other facilities, things of that nature that are going to take place during this project?
John Fischer: Our project plan is such that we will continue to operate facilities at Charleston while we build and start up the new facility. So we don’t anticipate any project related impact on our operating results.
Christopher Butler: I appreciate your time.
Joseph Rupp: Thank you.
Operator: Our next question is from Don Carson with Susquehanna. Please go ahead.
Don Carson: Thank you. A couple questions on chloralkali pricing - so John, how much of the $50 increase did you get in the quarter, about $15 or so? And then could you comment on the new contract rollovers for 2011, what changes in terms you were able to get? And I guess looking out, what impact if any do you see from some of these second half start ups by Shintech and others?
John Fischer: In terms of the $50 price increase, I can’t really tell you because there were so many third quarter, fourth quarter caustic price increases in 2010. We can’t separate them out by what happened, which increase was evident in which specific quarter. We have said consistently that as price increases move into the marketplace that we have a one to two quarter lag depending upon the magnitude and the timing of price increases and how close they fall if there are multiple increases. So we did get some of that and we anticipate that there are price increases that are still out there that we will see positive benefits from in our system over the next two quarters. In terms of capacity that is coming on later in the year or later, there is announced capacity coming on late this year into 2012, in some cases into 2013. We can’t speak for anybody else. We have made our announcement that we are actually reducing capacity across our system most of which will occur in 2012. And we believe as Joe mentioned earlier that there is a bias in the industry towards capacity rationalization. It’s been that way in recent history. We believe it will continue to occur and that the net effect of capacity additions will be for the most part offset by what the industry has done historically. And we believe we will continue to do it in the future.
Don Carson: John, can you comment - two follow ons. One, most of the industry publications only seem to put through about $15 of that last 50. So again, are your contracts tied to those industry benchmarks? And then two, just on your new contracts that you signed, were you able to get better terms and remove or at least reduce the impact of say annual caps on how much you can raise prices?
John Fischer: To your first question, you’re right, the industry indexes did reflect only about $15 and up until the most recent price increases that were announced for caustic, the market appeared not to put much stock in getting much more of that $50 increase than had been recognized earlier. But what we think and what our system reflects because as recent as the early part of this week we were late in shipments across our system (appliance). We believe that there is more traction in caustic pricing that we’ll see in the first and second quarters of the year. In terms of our contracts, we have for the most part almost completely and I say almost completely moved away from caps and limits in our contracts as we have continued to negotiate new contracts as old ones roll over. And so we’re going to be more closely tied to the market with less restrictions on pricing. We will still have the lag that’s inherent and has been in our historical contract base but without the caps and limitations that we have otherwise seen in other periods.
Don Carson: Thank you.
Joseph Rupp: Thank you Don.
Operator: Our next question is from Herb Hardt with Monness. Please go ahead.
Herb Hardt: Good morning. Two questions - one is what part of your ammunition business has a pass through on raw materials like the military? And secondly, when will you actually begin the mercury cell conversion?
Joseph Rupp: The mercury cell conversion actually will begin in 2012. We’ll be doing the engineering and preconstruction in 2011 and the conversion will occur in 2012 and be completed in the third quarter of 2012, Herb, for the mercury conversion. From an ammunition perspective there really is no pass through, not how the old metals business works. So basically what happens is there is a price for the ammunition and ultimately what is required as commodities go up, you need to announce price increases. There are price increases that are announced in the ammunition industry to take effect in April, which addresses some of the commodities.
Herb Hardt: Okay. Thank you.
Operator: Our next question is from Alex Yefrimov, Bank of America-Merrill Lynch. Please go ahead.
Alex Yefrimov: Thank you. Good morning. I have a follow up on price increases in Winchester. You mentioned that there are some increases slated for April. Can you comment what’s the magnitude and whether any of your competitors have announced similar increases?
Joseph Rupp: (It ranges) in the 5-7% range and everyone has announced.
Alex Yefrimov: And do you think this will be enough to preserve margin given increasing metal prices?
Joseph Rupp: I think it depends upon what happens with metals as we get out to the middle of the year. If metals stay where they are it’s going to require further price increases.
Alex Yefrimov: And so the second question on chloralkali side, it seemed like Dow’s increase of nomination of $35 a ton didn’t receive any support. And suddenly in mid-January you guys and then two other players nominated $40 a ton. Has something changed in terms of supply demand balance in mid-January for the better?
Joseph Rupp: We have seen continued demand even in what is typically in the first quarter of the year a period of time in which we might see some seasonal drop off. And as I said earlier, across our system we are actually out of caustic and are late in shipments as early as the first part of this week. So the dynamics for us indicate that caustic pricing should be moving upwards.
Alex Yefrimov: And finally, are you expecting any major turnarounds in the first quarter in chloralkali?
Joseph Rupp: We do have some turnarounds in the first quarter. We have an outage at our Henderson, Nevada facility in March as we prepare for the seasonal bleach season in the west. At St. Gabriel we’re in the middle of our extended chlorine pipeline outage. And at the end of that we have a five-day planned outage scheduled after which we’ll resume pipeline operations. And those are the two biggest ones. We have a three-day outage at Augusta at the end of the quarter. The rest of them are relatively smaller compares.
Alex Yefrimov: Great. Thank you.
Operator: Our next question is from Dmitry Silversteyn with Longbow Research. Please go ahead.
Dmitry Silversteyn: Good morning gentlemen and congratulations on ending the year on a strong note. A couple of questions - first of all, given all the cumulative price increases that you’ve seen in the chloralkali market including this latest $35 a ton, which I guess that’s open to speculation on how much you’ll actually get, but as you head into the first quarter of 2011 kind of what was the cumulative year over year increase in chloralkali pricing?
John Fischer: The EC net back in the fourth quarter of 2010 was about $425 and it was $515 in the fourth quarter of 2010. So that’s $90. And we would point out that in that you’ve also got changes in freight costs and you’ve got changes in the chlorine price also.
Dmitry Silversteyn: Okay. And if you look at the chlorine demand and you talked about chlorine pricing softening a little bit sequentially in the fourth quarter probably because of seasonality, when would you expect the inflection point in chlorine prices to take place? Would that be in the first quarter or in a second quarter as the weather improves and construction hopefully gets underway at some level?
Joseph Rupp: Well, the normal seasonal pattern is we start to see demands for chlorine that are tied to seasons start to show up at the end of the first quarter in our system.
Dmitry Silversteyn: At the end of the first quarter - so probably by middle of the year is when you would expect to see some positive pricing in chlorine, which should diminish the drag on the caustic price increases in terms of profitability?
Joseph Rupp: That’s entirely possible. If exports across the industry of chlorine derivatives continue and we get a normal seasonal increase in requirements for chlorine, it’s not unlikely that we won’t be in a position where we will be short of capacity on chlorine molecule and we’ll be looking to move pricing.
Dmitry Silversteyn: Very helpful, thank you. On the Winchester side, besides the consolidation of the manufacturing plant that you reserved during this quarter, are there other opportunities to lower costs internally through manufacturing efficiencies or maybe on the SG&A line somewhere to help you offset the raw material pressures? Or is it just a matter of taking your time to pass through pricing as needed to hopefully restore profitability in that business?
Joseph Rupp: I think two things. We’ll have to pass through pricing and make sure that we cost effectively move to Mississippi where we’ll really be able to get the efficiencies and the full fledged cost reductions.
Dmitry Silversteyn: Okay. Are there pricing pressures coming from unusual sources in Winchester? Or is it just a matter of passing through the raw material squeeze that you’re seeing on the metals side? I’m just trying to understand the fundamentals of the business a little bit better in terms of is there competition that is preventing you from getting pricing? Is there some resistance in the market? Are there contractual obligations that are slowing down price increases?
Joseph Rupp: There has been volume that has dropped off in the business that we talked about last year and we I’ve mentioned, the commodities really didn’t start running toward the end of last year. And in many cases people have hedged their positions a little bit but what’s happened is the commodities have run longer. And as I mentioned, we’ve announced a price increase and the other producers have announced a price increase as well.
Dmitry Silversteyn: Okay. So hopefully everybody is on the same page and we should start seeing margins improve. Would you say that the Winchester margins that you have been able to deliver in 2010 as you look out at 2011 will probably be lower in 2011 than in 2010 even if you get these price increases?
John Fischer: Yes. Yes. We’re just going to have significantly less volume in 2011 than we had especially in the first half of 2010. I mean we were running essentially at surge levels in the Q1 and Q2 of 2010.
Dmitry Silversteyn: So you expect volume decline somewhere in the mid to high single digits as well?
John Fischer: We typically see volume declines of 10-15% of the commercial sales per year for a couple of years at the conclusion of a surge.
Dmitry Silversteyn: Okay. Got it. Thank you very much. That’s helpful.
Operator: Our next question is from Gregg Goodnight with UBS. Please go ahead.
Gregg Goodnight: Good morning gentlemen. A follow up to a previous question for John McIntosh - you mentioned that your system for caustic is fairly tied to your running pretty tight on orders. Would you comment on the industry inventories in general? How tight is the industry? Could you comment on downstream demand? What seems to be driving caustic demand right now?
John McIntosh: We believe that industry inventories are relatively low. The latter part of 2010 the caustic imports into the US were off significantly. Europe was down because of their operating issues and low inventories and there was operating rates in China and far eastern countries were off. And so there wasn’t caustic to export to the US. We also believe that aluminum production has ramped up over the last several months, which has also affected import/export world trade movements of the product. And pulp and paper domestically has continued strong so we believe overall that inventory levels are lower than you would expect for this seasonal time of year.
Gregg Goodnight: Okay. Excellent. I believe you had mentioned that about 70% of the $135 price increase for caustic has been actualized and that would put you at about $95-100 a ton of increases. Were you specifically addressing the first three increases, which I believe were 40, 40 and 50?
Joseph Rupp: That’s correct.
Gregg Goodnight: Okay. And none of that 70% is in the last $35-40 a ton, correct?
Joseph Rupp: That is correct.
Gregg Goodnight: Okay. Excellent. On your guidance of 20-25 cents per share for the first quarter, I assume that’s on an adjusted basis, not a GAAP basis.
John Fischer: It’s on a GAAP basis.
Joseph Rupp: It’s on a GAAP basis.
Gregg Goodnight: Okay. On a GAAP basis - so do you expect any unusual charge or write downs that would make that differ for adjusted EPS in 2011?
John Fischer: We have not forecasted any, no.
Gregg Goodnight: Okay. My last question if I could is in the past you guys have been pretty good in terms of hitting your EPS guidance and you were significantly above that in the fourth quarter. If I am interpreting your guidance as an adjusted basis would you comment on was your guidance on an adjusted basis, a GAAP basis? And if it was an adjusted basis, what was the big component of the upside surprise?
John Fischer: The fourth quarter guidance that we gave was on a GAAP basis. We were surprised operationally by higher than expected volumes in chloralkali and Winchester and the pricing realization of the caustic price increases occurred more rapidly in our system than we had expected. So we saw better pricing in chloralkali in the fourth quarter and that’s…
Joseph Rupp: Lower environmental costs.
John Fischer: There was no adjusted there. It was all GAAP.
Gregg Goodnight: Okay. So that did include an anticipated charge in the fourth quarter?
John Fischer: Yes it did. Excuse me. The guidance that we gave out at the end of the third quarter for the fourth quarter did not contemplate the restructuring charge. There was a subsequent press release in December where we identified the restructuring charge.
Gregg Goodnight: Okay. So your guidance is always on an adjusted basis then?
Joseph Rupp: We don’t really normally have too many adjustments Gregg.
Gregg Goodnight: I understand.
Joseph Rupp: Normally our GAAP guidance was 0 to breakeven to net goal is what it was. And then ultimately what happened is we chose to take this write off in December and that’s what kind of gets you into the adjusted basis. But we’re not anticipating any further write offs at this point in time as we look forward to 2011.
Gregg Goodnight: Okay. Thank you for that.
Joseph Rupp: Thanks.
Operator: Our next question is from Kristen McDuffy with Goldman Sachs. Please go ahead.
Kristen McDuffy: Yes. I just wanted to ask I think you had guided to $160 million expense for the mercury cell conversion. Can you divide that expense and give some guidance for cash outlays in 2011 versus 2012?
John Fischer: Well, what we said is that that’s a component of our capital spending forecast for 2011 of $230-250 million and it’s obviously a big component of it.
Kristen McDuffy: Got it. And the same question for Winchester. Will there be severance that will be above and beyond what’s flown through the CapEx line in 2011?
John Fischer: There is severance that was included as part of the restructuring charge. That will flow through over the next several years (inaudible) - terms of a cash outlay but it has been provided for in the $34.2 million.
Kristen McDuffy: Okay. Got it. And then I think you had mentioned potential M&A activity in the chloralkali space. Can you talk about whether we have seen more of a normalization of (that spread) out there and what your ultimate objective is in terms of M&A in the chloralkali space?
Joseph Rupp: The area that we have most interest in is in the bleach business. And that’s where we’ve talked about I think many times in the past. And perceptions of value have been where they were wildly apart, it seems that they are starting to become more in alignment. So there may be some further opportunities there.
Kristen McDuffy: So it seems less likely that you would be doing something in chlorine caustic like outside of the bleach space?
Joseph Rupp: I think our first preference is in the bleach space. We’ve also stated that if there were chlorine and caustic that made sense that clearly we have an interest in that as well.
Kristen McDuffy: Okay. And just lastly, could you comment on what the year over year volume decline was on your Winchester business?
John Fischer: I think on the commercial side it was something in the neighborhood of 12%.
Joseph Rupp: Right.
John Fischer: That’s unit volume and that’s commercial.
Kristen McDuffy: Okay. Thank you.
Operator: Our next question is from Gautam Khanna with Cowen & Company. Please go ahead.
Gautam Khanna: Yes. Thanks for taking my question. I just had two on the Winchester segment. Specifically if you could comment on the sequential trend in backlog, I know you gave the year over year. And also if you have seen any change in share as volumes declined, are any of your distributors or dealers kind of moving share around that favors you or doesn’t favor you?
John Fischer: I don’t know that giving you a sequential backlog number in Winchester means anything because of the significant seasonal component of the business. The backlog typically builds from the end of the year through the middle part of Q3 and then drops off substantially. So the backlog at the end of the fourth quarter is always at its lowest.
Gautam Khanna: Okay. Could you comment on the hunting season specifically? I mean was it stronger or weaker than you kind of anticipated heading into the quarter?
John McIntosh: I would say that it was maybe just a little bit stronger than what we hand anticipated.
Gautam Khanna: Okay. And with respect to share, the reason I ask is because two of your competitors always claim they have number one position. I know you guys are a great brand. And so are you seeing any change in share with respect to the Winchester shelf space at dealers or with distributors?
John McIntosh: We don’t really normally talk a whole lot about share but I think we all feel that we have number one positions in a variety of the symbols.
Gautam Khanna: And there’s no change there? Okay. Than you guys. Appreciate it.
John McIntosh: Thank you.
Operator: This concludes our question and answer session. I would now like to turn the conference back over to Mr. Rupp for any closing remarks.
Joseph Rupp: We thank you for joining us and we look forward to speaking with you in April when we report on our first quarter results. Thank you. 